Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2017 Stratasys Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. I would now like to turn the conference over to Shane Glenn, Vice President of Investor Relations of Stratasys. You may begin.
Shane Glenn - Stratasys Ltd.: Good morning, everyone, and thank you for joining us to discuss our third quarter financial results. On the call with us today are Ilan Levin, CEO; and Lilach Payorski, CFO of Stratasys. I remind you the access to today's call, including the prepared slide presentation, is available online at the web address provided in our press release. In addition, a replay of today's call including access to the slide presentation will also be available and can be accessed through the Investors section of our website. We will begin by reminding everyone that certain statements made on this call regarding Stratasys' strategy and the statements regarding its projected future financial performance, including the financial guidance concerning its expected results for 2107, are forward-looking statements reflecting management's current expectations and beliefs. These forward-looking statements are based on current information that is, by its nature, subject to rapid and even abrupt change. Due to risks and uncertainties associated with Stratasys' business, actual results could differ materially from those projected or implied by these forward-looking statements. These risks and uncertainties include, but are not limited to, potential declines in the prices of our products and services or volume of our sales due to decreased demand in the 3D printing market; any failure to adequately adapt our infrastructure and properly integrate the internal and external sources of our growth to generate intended benefits, including from the companies that we have acquired; potential further charges against earnings that we could be required to take due to impairment of additional goodwill or other intangible assets; changes in the overall global economic environment; the impact of competition and new technologies; changes in the general market, political and economic conditions in the countries in which we operate; any underestimates in projected capital expenditures and liquidity; changes in our strategy; changes in applicable government regulations and approvals; changes in customers' budgeting priorities; reduction in our profitability due to shifting in our product mix into lower margin products or our shifting in our revenue mix significantly toward our additive manufacturing services business; costs and potential liability relating to litigation and regulatory proceedings; and those additional factors referred to in item 3.D Key Information – Risk Factors, Item 4 Information on the Company, and Item 5 Operating and Financial Review and Prospects in our 2016 annual report on Form 20-F, which we filed with the SEC on March 9, 2017 as well as in the 2016 annual report generally. Readers are urged to carefully review and consider the various disclosures made through the report on Form 6-K that attaches Stratasys' unaudited, condensed, consolidated financial statements as of and for the quarter and nine months ended September 30, 2017, and its review of its results of operations and financial condition for those periods which have been furnished to the SEC on or about the day hereof, Stratasys' 2016 annual report and Stratasys' other reports filed with or furnished to the SEC, which are designed to advise interested parties the risks and factors that may affect our business, financial condition, results of operation and prospects. Any guidance provided and other forward-looking statements made on this call are made as of the date hereof, and Stratasys undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise except as required by law. As in previous quarters, today's call will include GAAP and non-GAAP financial measures. The non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. Certain non-GAAP and GAAP reconciliations are provided in the table contained in our slide presentation and in today's press release. Now, I'd like to turn the call over to our CEO, Ilan Levin. Ilan?
Ilan Levin - Stratasys Ltd.: Thank you, Shane. Good morning, everyone, and thank you for joining today's call. We are pleased with our organizational focus that is in line with our long-term strategy of delivering value-added additive manufacturing applications within our target market. Our focus is also reflected in our reduced operating expenses and improved profitability. During the year, we have launched new printing systems as well as value-added enhancements in the form of materials and software-based capabilities to our existing product lines. Our recently launched F123 Series, targeting professional rapid prototyping applications, continues to perform strongly. We are experiencing impressive usage growth for our GrabCAD Print software, enabling seamless CAD to print workflow. Additionally, we are excited with the latest commercial installation of another H2000 Large Part FDM 3D Production System, thereby achieving another important milestone with respect to this product. Over time, we are observing a maturing pattern of customer behavior that is characterized by orders that are made up of multiple systems as customer adoption accelerates and used cases develop. Although a shift towards larger, more complex orders is a significant opportunity, it does introduce higher quarter-to-quarter variations in order timing that can impact our revenue in a given period. I will return later in the call to provide you with more details on these important initiatives as well as other key developments. But first, I will turn the call over to our CFO, Lilach Payorski, who will review the details of our financial results. Lilach?
Lilach Payorski - Stratasys Ltd.: Thank you, Ilan, and good morning, everyone. Total revenue in the third quarter was $155.9 million compared to $157.2 million for the same period last year. GAAP operating loss for the third quarter was $6.9 million compared to a loss of $19.4 million for the same period last year. Non-GAAP operating income for the third quarter was $8.1 million compared to $3.3 million for the same period last year. Product revenue in the third quarter decreased by 2% to $108.4 million as compared to the same period last year. Within product revenue, system revenue for the quarter declined by 6% compared to the same period last year driven by product mix, the timing of several large multi-system orders that shifted to the fourth quarter as well as the impact of several incidence of severe weather condition in North America during September. As in previous quarter, it appears that adoption of manufacturing application in our target industries is further along in certain regions such as America and EMEA. Consumables revenue increased by 3% compared to the same period last year. Service revenue in the third quarter was $47.5 million, an increase of 1% compared to the same period last year. Within services revenue, customer support revenue which includes revenue generated mainly by maintenance contract on our systems increased by 5% compared to the same period last year driven primarily by growth in our installed base of systems. GAAP gross margin increased to 48.3% for the third quarter compared to a GAAP gross margin of 56.9% for the same period last year. Non-GAAP gross margin decreased to 52.5% for the third quarter compared to 54% for the same period last year driven by a shift in product mix and reflecting the same business trends as last quarter. Non-GAAP product gross margin decreased slightly to 59.6% compared to 60.6% for the same period last year driven by the same shift in product mix. Non-GAAP service gross margin decreased to 36.3% compared to 38.7% for the same period last year driven by the impact of service revenue mix by product as well as utilization rates from our various technologies at Stratasys Direct Manufacturing. GAAP operating expenses decreased by 12% to $82.1 million for the third quarter as compared to the same period last year. Non-GAAP operating expenses decreased by 10% to $73.8 million for the third quarter as compared to the same period last year. We are pleased with the result of our efforts to execute on our long-term strategy and deepening customer engagement in our key verticals, while at the same time, achieving greater operating efficiencies. The company generated $4.6 million of cash from operations during the third quarter as compared to $2.5 million of cash used in the third quarter last year. We ended the third quarter with $302.8 million in cash and cash equivalents compared to $305.3 million at the end of the second quarter 2017. The cash from operating activities was negatively impacted by the $8.4 million final payment related to previous year acquisitions. Inventory at the end of the third quarter increased to $124.1 million as compared to $116.5 million at the end of the second quarter. Accounts receivable was flat at $120.5 million compared to $120.3 million at the end of the second quarter with DSO on 12-month trailing revenue at 66. To recap, we are pleased with the shift in customer behavior, categorized by large multi-system orders, although larger order can introduce higher quarter-to-quarter variation in order timings. Additionally, we reduced operating expenses while increasing our efforts to gain greater market share by leveraging our purposeful innovation in high value applications around our technologies. This has, in turn, has resulted in an increase in our full year earning guidance. We continue to generate cash from operating activity and maintain a strong balance sheet. We are well positioned to leverage this favorable cash level on emerging opportunities going forward. I would like now to turn the call over to our VP of Investor Relations, Shane Glenn, who will provide you greater details on our previously reported 2017 financial guidance. Shane?
Shane Glenn - Stratasys Ltd.: Thank you, Lilach. We're narrowing the range of our 2017 revenue guidance and increasing our guidance for 2017 operating margins and earnings per share as follows: total revenue in the range of $655 million to $670 million compared to previous guidance of $645 million to $680 million; non-GAAP net income in the range of $22 million to $26 million or $0.40 per diluted share to $0.48 per diluted share compared to previous guidance of non-GAAP net income in the range of $10 million to $20 million or $0.19 per diluted share to $0.37 per diluted share; GAAP net loss of $39 million to $31 million or $0.73 per diluted share to $0.59 per diluted share compared to previous guidance of GAAP net loss of $53 million to $39 million or $1 per diluted share to $0.73 per diluted share; non-GAAP operating margin of 5% to 6% compared to previous guidance of non-GAAP operating margin range of 3% to 5%. Capital expenditures are projected to be $20 million to $30 million for 2017. Non-GAAP earnings guidance excludes $34 million of projected amortization of intangible assets, $17 million to $18 million of share-based compensation expense, $3 million to $4 million of merger and acquisition-related expense, and $6 million to $8 million in reorganization and other related costs and includes $3 million to $4 million in tax expenses related to non-GAAP adjustments. We maintain a relatively high estimated non-GAAP tax rate for 2017 given the ongoing non-cash valuation allowance on deferred tax asset we expect to record throughout the year. These deferred tax assets have expiration dates many years in the future and we do anticipate being able to ultimately recognize their value to offset prospective tax liabilities. Given the expected ongoing negative impact of not recording a tax benefit on U.S. tax losses on our net income loss as well as significant quarter-to-quarter variability in our non-GAAP tax rate, the company believes non-GAAP operating profit would be the best measure of our performance in 2017. Appropriate reconciliations between GAAP and non-GAAP financial measures are provided in a table at the end of our press release and slide presentation with itemized detail concerning the non-GAAP financial measures. Now, I'd like to turn the call back over to our CEO, Ilan Levin. Ilan?
Ilan Levin - Stratasys Ltd.: Thank you, Shane. As the global leader in applied additive technology solutions, we are focused on supporting our customers with comprehensive 3D printing expertise and a complete line of solutions. In line with our strategy, we are focused on launching new printing solutions as well as value-added enhancements and applications to deliver overall value to customers in our key vertical markets. Our newly announced products are aimed at expanding the addressable market for additive manufacturing solutions by offering superior ease of use, versatility, and added value for specific use cases within our target markets. Last year, we began announcing a series of advanced technology demonstration platforms based on our FDM technology which are designed to specifically address advanced industrial additive manufacturing applications by dramatically improving part performance and size, throughput, and design customization. We are now pleased to announce that we are transitioning into the commercialization phase for the H2000 Large Part FDM 3D Production System, which was originally introduced in 2016 at IMTS as the Stratasys Infinite Build 3D Demonstrator. The H2000 was developed in collaboration with leading industrial companies, including The Boeing Company and the Ford Motor Company, and is designed to target manufacturing applications by lowering the constraints associated with part size and build speed. After positive feedback from our development partners, we have now expanded our outreach to select customers and are happy to announce that we recently achieved a further milestone with the commercial delivery of an additional H2000 with a new customer. The F123 Series is quickly becoming one of the most successful Stratasys professional rapid prototyping product launches as more companies adopt a workgroup-oriented approach to design and rapid prototyping. The F123 offers a best-in-class professional workgroup experience for design and rapid prototyping needs with a combination of ease of use, precision, repeatability, affordability, and material option. We believe that this new product allows us to expand our market as well as further penetrate our existing customer base with our distributed printing experience. As a result, we have observed continued success and strong market reception, including high rates of adoption by new customers and in some cases orders made up of multiple systems. In our continued effort to improve and innovate the file to print workflow, we are also pleased to announce that GrabCAD Print has now been installed by nearly 18,000 users to-date and has been used to print over 116,000 trays of parts since launch in November 2016. This week at the Formnext Additive Manufacturing Conference in Germany, we are making several announcements including the launch of GrabCAD Voxel Print. GrabCAD Voxel Print is a new software solution for our J750 full-color multi-material 3D printing platform, providing industry-leading true Voxel level of control during the design and 3D printing process. For the first time, users will be able to manipulate 3D printed material at the Voxel level. Leveraging the J750's unique full-color multi-material capability, Voxel Print is designed to afford users control and freedom to produce entirely new digital materials for their specialized needs. GrabCAD Voxel Print provide users the ability to create advanced structures, gradient color patterns, internal properties and textures for 3D printing to meet precise material requirements for different applications that include academic research, product design, and biomedical as well as art, design, and animation. Recently, MakerBot announced the introduction of MakerBot Labs, an experimental platform for engineers and developers to create, build, customize, and collaborate as they push the limits of what is possible with existing MakerBot desktop 3D printing systems. We believe that this platform will expand our addressable market in the desktop segment by providing advanced users the freedom and ability to experiment with new innovative material and software settings to develop new capabilities and applications while using MakerBot desktop 3D printing systems. The platform includes the MakerBot Experimental Extruder with interchangeable nozzles and access to custom print modes for experimenting with more advanced materials, the MakerBot Labs Community on Thingiverse, and access to MakerBot APIs for optimization and customization of MakerBot hardware. In summary, we are pleased with our progress in developing new products and value-added enhancements and applications that expand our addressable market by targeting specific use cases within our target industries. After successful installations with our development partners, we are transitioning into the commercialization phase for the H2000 Large Part FDM 3D Production System and are excited about our recent additional commercial installation of that system. In the third quarter, we continue to observe strong demand for our F123 Series and impressive adoption of GrabCAD Print and are pleased to have launched GrabCAD Voxel Print and MakerBot Labs, two products that open up exciting new capabilities for our PolyJet and FDM desktop platforms. Looking forward, we remain optimistic about our prospects for the remainder of 2017 and are enthusiastic about our long-term growth potential within our industry. Operator, please open the call for questions.
Operator: Thank you. Our first question will be coming from Troy Jensen of Piper Jaffray. Your line is now open.
Troy D. Jensen - Piper Jaffray & Co.: Hey. Thanks for taking the question and congrats on the improved profitability.
Ilan Levin - Stratasys Ltd.: Thanks, Troy.
Troy D. Jensen - Piper Jaffray & Co.: Hey. So I guess maybe for Ilan or Lilach, you guys have made great progress with OpEx controls here. It drove really a lot of the profitability upside. Do you feel you're at the level you want to be at going forward now or do you see further investments or further cost cuts?
Ilan Levin - Stratasys Ltd.: So hi, Troy. It's Ilan. In general, I think we're in a good position with respect to our operating spend as reflected in the operating profit that we announced today. Most of that is driven by our ongoing efforts to align our resources around the long-term strategy of deeper customer engagement and the development of our technologies around high value applications. So I think we're in a good place. And as we move forward and develop partnerships with customers and in the industry, we're going to focus in on that and take it from there. Most of the things that we're doing now on that level are designed to increase our addressable market. I think F123 is a great example of coming to market with a very specific product that can come to a workgroup environment. I think the H2000 is another great example of bringing products that expands our addressable market with some key customers. So we're going to see I think more and more activity around that, both from the OpEx side and then at the result in revenue.
Troy D. Jensen - Piper Jaffray & Co.: All right. And then just my follow-up. You just mentioned bringing products to market. So I'd always thought that electrostatic printing was one of the best products that you had in your skunkwork developments here. So I'm just curious why you guys are branding this as Evolve's systems versus Stratasys?
Ilan Levin - Stratasys Ltd.: So we've been incubating several technologies within Stratasys over the years and, where appropriate, we've been looking at ways to enhance the focus around them and get them moving internally, more independently, just for pure focus. Different technologies that we've incubated don't necessarily have the identical addressable market, and so that was the reason for that. And as you've alluded to us specifically at Evolve, that's a newly formed subsidiary that we have created around an incubated technology that's been in Stratasys for a number of years, and it's focused in targeting high-volume manufacturing applications that would be normally addressed by CNC and injection molding. So it's a little bit different. It's a different market a little bit than what we've been doing and I think the independence around that will allow them to better focus and capture that potential.
Troy D. Jensen - Piper Jaffray & Co.: Can I just ask one more follow-up? I'd be curious to know when you think you can commercialize the electrostatic printing technology.
Ilan Levin - Stratasys Ltd.: So we're not going to comment right now on the timeline of the commercialization of that technology specifically.
Troy D. Jensen - Piper Jaffray & Co.: All right. Understood. Good luck.
Ilan Levin - Stratasys Ltd.: Thank you.
Shane Glenn - Stratasys Ltd.: Thanks, Troy.
Operator: Thank you. Our next question comes from Ken Wong of Citigroup. Your line is now open.
Kenneth Hoi Fung Wong - Citigroup Global Markets, Inc.: Good morning, guys. Can you talk a little bit about the pipeline of these multi-system deals that you guys mentioned? Are you finding that it's really just your larger customers are buying a lot more or is it across different customer tiers where the small and perhaps mid-size customers are also just moving up the stack here?
Ilan Levin - Stratasys Ltd.: So I think it's a combination of both. It's across a number of industries and it's across – really depending on the product. So we see a good example of that is on the F123 side, so it's not atypical now that we're receiving multiple system orders, systems on a single order from a wide variety of customers and industries. And as we've alluded to in our earlier remarks, we're getting a lot of increased traction from new customers with that product line. As we move up on the product line, the larger systems certainly, I think you will see more customers there that have been familiar with our technology for a number of years understand the use cases around it and then they're ramping up their specific need to grow. So it really depends on which end of the product line we're looking at.
Kenneth Hoi Fung Wong - Citigroup Global Markets, Inc.: Got it. And Lilach, you mentioned some hurricane impact this quarter. Any rough quantification? And then as we think about potential impact going forward, should we expect that Q3 is – you guys have resolved most of the – or at least the customers have resolved most of the issues there and we shouldn't see any lingering headwinds going forward from weather?
Lilach Payorski - Stratasys Ltd.: Yeah. So we are not providing a specific number around the impact of this. But overall, yeah, we did experience some noise around that in the last few weeks in September, and we did see all those materialize in the early of October. So we don't perceive this strength impact us going forward.
Kenneth Hoi Fung Wong - Citigroup Global Markets, Inc.: Okay. Great. Thanks a lot, guys.
Shane Glenn - Stratasys Ltd.: Thanks, Ken.
Operator: Thank you. Our next question comes from Wamsi Mohan of Bank of America Merrill Lynch. Your line is now open.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Hi. Thanks for taking our questions. This is Ruplu filling in for Wamsi today. I think you mentioned some multi-system orders getting pushed out to 4Q. I was just wondering if you can quantify how much revenue that was that shifted out to the fourth quarter and what was the margin impact of that in 3Q?
Ilan Levin - Stratasys Ltd.: As we've said, we're not going to break out the specific number that was – we feel pretty comfortable because those specific systems and orders that we're referring to were delivered and shipped in October. So we feel pretty comfortable that it was just a movement of a couple of weeks there.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. And then for my follow-up, just looking at the consumables revenue, it grew 3% year-on-year. I was just wondering the new system, the F123, is the rate of consumables consumption more than your typical system or less and how should we think about consumables revenue getting back to the type of growth that we've seen earlier in the year?
Ilan Levin - Stratasys Ltd.: So I think it's a little bit early to tell the usage patterns on an F123. From a revenue perspective in any given period, that overall consumable number would be really dependent on just kind of the rate of new hardware sales, the product mix of our installed base, as well as the product mix in a specific quarter in terms of hardware sales, the product mix within the consumables as we are now working more towards opening up the spectrum, as you can imagine on F123 which is a much more of a general purpose system, there are less premium materials on that system. And if you look at something like an H2000, you're all the way over to almost exclusively on a premium. So it really can vary and right now, since we have new products in the market that hasn't been out there very long, we're internally even are not drawing dramatic conclusions yet of the usage patterns on any of them and how that's working.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. Thank you for taking my questions. Appreciate it.
Operator: Thank you. Our next question comes from Paul Coster of JPMorgan. Your line is now open.
Paul Coster - JPMorgan Securities LLC: Thanks for taking my question. I'd like to understand a little bit the use case around the H2000, let's say, at a large aerospace company. Do you anticipate that the system gets deployed and it then can handle multiple product lines or are you anticipating sort of a one system per production line? Just some sense I guess of how you see the scaling within a customer over the course of time would be helpful.
Ilan Levin - Stratasys Ltd.: So I think it's still pretty earlier days and whatever number of customers we've supplied it to are using it in different ways and have different ideas around it. I think in general, when we're speaking of the very large build size of an H2000 and the associated print time of course around that, once they get past identifying the application fit and where that suites them, I think we will see more specific applications in each customer setting around the system more so than in our other systems. So I think we will see a trend there that has yet to be determined. It's still pretty early days but that is our anticipation.
Paul Coster - JPMorgan Securities LLC: And these production systems are sort of what percentage of system revenue today and how much will they represent, say, in three years from now do you think?
Ilan Levin - Stratasys Ltd.: So we're not breaking that down yet. In any case, I think it's still early. We have a number of systems out there and are still learning how customers are using them. So I don't think we can give information further than what we've given at this point.
Paul Coster - JPMorgan Securities LLC: Okay. Thank you.
Shane Glenn - Stratasys Ltd.: Thanks, Paul
Operator: Thank you. Our next question comes from Shannon Cross of Cross Research. Your line is now open.
Shannon S. Cross - Cross Research LLC: Thank you, [Technical Difficulty] (30:14) consumables side, when do you think we might see some acceleration in the revenue growth on that? I know there were some delays this quarter, but just thinking about some of the pressure that you've seen in prior quarters on system sales. Is that some of what's sort of flowing through on consumables? And then as those new products come in we'll see it kick back up again or just how do we sort of think about if there's a lag factor between the revenue growth in sort of hardware and systems versus what you're seeing in consumables. And then I have a follow-up. Thank you.
Ilan Levin - Stratasys Ltd.: So from a consumables perspective, clearly new hardware sales in any given period is a driver for immediate consumables associated with that sale. There are other factors, however, that put it into that mix there which is the product on the consumables side, the different types of consumables and the usage patterns around them. And as we're opening up the spectrum of our offering both on the hardware side and the consumables side, we're going to see, I think, a different pattern going forward. I don't think I have enough data and period of time with this new strategy that we can actually determine what that trend will be. So from an aerospace application, for our high-end systems, we have some of our premium materials. In F123, we'll have a more commonly used material that would might be priced at a lower point. And adding to that, when we enter into manufacturing we're going to see perhaps a different pricing there as well. So we're still putting all of that into the mix and I think it's still early days yet to determine what that trend will be.
Shannon S. Cross - Cross Research LLC: Okay. And I'm curious, how are you sort of tracking that and it just comes back to, I mean, HP again, this is on the 2D printing side but they have their famous four-box model where there are different puts and takes and then hopefully at the end of the day it comes back with a sort of accurate forecast. I'm just kind of curious internally how you're sort of thinking about forecasting on the consumables side. And then actually when you answer that, I do have one more follow-up question. Thank you.
Ilan Levin - Stratasys Ltd.: So we've historically forecasted I think reasonably well our consumable revenues. And as we're now at the beginning, say, of catering to specific applications and opening up that spectrum, we're continually refining the forecasting model in order to suit our product line.
Shannon S. Cross - Cross Research LLC: Okay. And then with regard to the sort of lumpier sales and that more systems-oriented larger contracts in that, are you changing the way that you're, I don't know, following the pipeline with your sales force? Are you changing the way your sales forces comp? I'm just trying to think sort of the magnitude of the dealerships and perhaps sort of the complexity if you're making changes within sales processes and (33:24), all of that, to address that?. Thank you.
Ilan Levin - Stratasys Ltd.: So we've consistently I think over the past number of years have been adapting ourselves to the market landscape in general. So we've added expert services, we've added key account management, we've added industry segment leaders in the territories that require it, and all are designed to support the strategy of going deeper with customers in terms of engagement with catering to specific applications. So we're doing a lot of efforts globally and within specific regions to do exactly that.
Shannon S. Cross - Cross Research LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from David Ryzhik of Susquehanna Financial Group. Your line is now open.
David Ryzhik - Susquehanna Financial Group LLLP: Thanks so much. Congrats everyone on the H2000 placement. So I just wanted to clarify. Would the revenue be recognized for this installation in Q4? And any idea on the ASP? I mean, is it a $2 million unit and I had a follow-up. Thanks.
Ilan Levin - Stratasys Ltd.: So we don't break out the revenue right now associated with our different systems. We have shift, as we said, that specific system in the fourth quarter. Just bear in mind that the system is a little bit different than our previous systems or other systems that we sell, and our F123 all the way at the other end is very much of a plug and play experience. And with respect to the H2000, there is work in getting it up and meeting customers' requirements on a site specific level.
David Ryzhik - Susquehanna Financial Group LLLP: Got it. So you say shifted it in Q4 but it's not clear if revenue will be recognized in Q4 or partially in Q4 or in Q1. Correct?
Shane Glenn - Stratasys Ltd.: Yeah. There's issues. Obviously given the nature of the system is, I mentioned that the system will need to be installed correctly prior to revenue recognition. So at this point, we wouldn't want to speculate on an exact date.
David Ryzhik - Susquehanna Financial Group LLLP: Great. And I guess just with F123, Ilan, can you give us a sense of what percent of the F123 demand you think is coming from existing MakerBot customers? And maybe can you quantify that up-sell opportunity besides the new customer opportunity which seems pretty strong. But would love to hear your thoughts on that.
Ilan Levin - Stratasys Ltd.: So I think that end of the market is very much represented by a lot of players and a lot of new entrants, and that market is very much growing I think as a result. So we don't necessarily look at it as what's happening to MakerBot as opposed to what are we doing at F123 level. I think it's a very much of a growing market. Many, many new systems are being installed globally and I think we're participating in that market very nicely when we look at both the MakerBot and the F123 Series on a combined basis.
David Ryzhik - Susquehanna Financial Group LLLP: Okay. Thanks so much.
Operator: Thank you. Our next question comes from Patrick Newton of Stifel. Your line is now open.
Patrick Michael Newton - Stifel, Nicolaus & Co., Inc.: Yeah. Good morning, Ilan and Lilach. I guess first is on the systems revenue side. The revenue trends are declining at a decelerating rate. So I'm curious if we take some of the new products that you've talked about, specifically the H2000, customers trending towards purchasing multiple systems and current industry demand dynamics, do you feel we're approaching an inflection for systems revenue and are likely to return to growth in 2018?
Ilan Levin - Stratasys Ltd.: So we are very much encouraged when we're getting into the dialogue with customers. And when we're looking at the multiple system orders, we see that from, as I said earlier in the comments, from customers who have been using our technology for a number of years that understand the application fit. So there is a lot of encouraging signs there when we see the increased adoption coming from those types of customers.
Patrick Michael Newton - Stifel, Nicolaus & Co., Inc.: Great. I guess, Lilach, I wanted to focus a little bit on gross margin. You highlighted in your prepared remarks the decline year-over-year due to mix. But I'm curious. If we look forward and we think about these multi-unit orders in larger format printers, how should we think about that impacting mix on a go-forward basis? And also within gross margin, I believe there were some prior headwinds from the success of the F123. Have those been resolved?
Lilach Payorski - Stratasys Ltd.: So specifically regarding the impact of the large orders, actually what we're happy to see in those large order that we can actually see a variety of F123, and at the same time also it can be more on the high-end products, so not necessarily this is going to impact specifically the gross margin. So we still see a significant impact on our gross margin trend given the different product mix and the variety of our product offering going forward. Specifically regarding the F123, we're definitely pleased with the nice attraction and the acceptance that the market has around this product and the high volume of unit that we are selling and shipped. And definitely, this is also have impact in our product mix and gross margin.
Patrick Michael Newton - Stifel, Nicolaus & Co., Inc.: I guess – I'm sorry, just a clarification, Lilach. As we move to these larger format printers, the crux of the question is is this positive to your product mix or negative?
Lilach Payorski - Stratasys Ltd.: So you ask about the large multi-system order or you ask about the large...
Ilan Levin - Stratasys Ltd.: No, I think it really depends – it's very product-specific, so I think there are very solid, good products that have been in the market for a while on the high end that are favorable to us on the gross margin level. Typically, when we do introduce a product, it takes a number of quarters to get the kinks out and then we see an improvement in gross margins. And looking forward I think on the F123, we're making continual improvements on that considering that it was launched in February of this year.
Patrick Michael Newton - Stifel, Nicolaus & Co., Inc.: Great. Thank you for taking my questions. Good luck.
Operator: Thank you. Our next question comes from Sherri Scribner of Deutsche Bank. Your line is now open.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Hi. Thank you. I guess I was wondering if you could provide some additional detail on the system segments, if you're seeing unit growth or at least stable units. I guess simplistically, I would assume that you would have to see the units grow over time in order to continue to grow the consumables business. Maybe that's not true, so maybe you could comment on that. But specifically, are we starting to get to a point where we might see some unit growth in the system business and is the decline in sales largely a mix issue or is it a unit issue?
Ilan Levin - Stratasys Ltd.: So now we're beginning to look at it. I think just the general industry maturity and certainly the strategic focus of Stratasys is to start to look at our markets in different ways. So we don't look at it any longer as how many units have we sold across the business but we would look more specifically at the entry-level engineering-grade workgroup product line how are we doing. So we certainly see an uptick in unit growth as a result of the F123 introduction. In terms of usage, which your question was is it a one-to-one relation, it's very much, again, depends on the market. So an F123 certainly would not be used at the same continual basis as a higher end system that we would be selling. So we're beginning to look at it in different ways with different perspectives which I think is something new certainly at Stratasys over the past number of quarters.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Okay. And then just a follow-up on the services side. The maintenance continues to see some decent single-digit growth but that implies that the on-demand business is still declining. What is your perspective on the necessity of the on-demand business going forward and do you think that business will stabilize? What are you hearing from your customers on their desire for on-demand services? Thanks.
Ilan Levin - Stratasys Ltd.: So in line with our general strategic focus, we're increasingly looking to drive a strategy that realizes some synergies between that part of the business and our core system business, and I think that is the value for us internally of how we would like to see SDM develop together with Stratasys. So we've managed looking at it now from a customer perspective and meeting their needs across a wider spectrum. Typically, I think, in the past, we've looked at it more at the system side and associated consumables. Now, we've put into that and we're going to increasingly put into the mix expert services, the ability to provide parts either as an introductory service or perhaps there's an overcapacity element to it. And so in putting all that together and I think the going forward is going to look more and more integrated.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Great. Thank you.
Operator: Thank you. Our next question comes from Matt Cabral of Goldman Sachs. Your line is now open.
Matthew Cabral - Goldman Sachs & Co. LLC: Yeah, thank you. Just one from me. I wanted to ask on the competitive landscape. I guess, a couple of your competitors have introduced new lower priced offerings over the past few weeks, in particular, started to talk about a more aggressive environment. So, I guess, with that in mind, just curious if you saw any changes in terms of the market pricing dynamics in the third quarter, and more broadly, just how you're thinking about your hardware pricing strategy going forward?
Ilan Levin - Stratasys Ltd.: So I think that in general our ASPs are stable. As we open up the spectrum, again, we're not going to be looking at it as a single number, I think we're going to start looking at it within the different market segments and how selling prices are affected on each. And then, once we develop a strategy and we're doing that continually, as we develop the strategy for each of the segments, often, the pricing or competitive pressures, if they do exist, might come from conventional means. It might come from how disruptive additive manufacturing brings to the table. And as you alluded to, it might be affected by competing solutions in the market. Again, it would not only affect, I think, hardware prices. I think there's a very much of a look from a total cost of ownership and cost per part. So there's a lot of blended into that which is hardware, consumables, the reliability of a system and the associated service expenses around the uptime. So there's a lot that goes into that mix. And certainly as we're looking more on the manufacturing side on an increasing basis, those are the questions and it's not so much the entry level price of the specific, the capital equipment side of it, the hardware side of it.
Matthew Cabral - Goldman Sachs & Co. LLC: Thank you.
Operator: Thank you. Our next question comes from Ananda Baruah of Loop Capital. Your line is now open.
Ananda Baruah - Loop Capital Markets LLC: Hi, hey, guys. Thanks for taking my question, Ilan and Lilach. I guess a few for me if I could. Just regards to the lumpiness in the orders for the larger machines and the movement kind of across the line into December quarter. With that September quarter revenue, feels like it was at the lower end, towards the lower end of normal September quarter kind of seasonality and December quarter sort of feels the same way. So I'm just looking for context on what the customer sort of buying pattern feel like. Is it a case where now you're sort of shifting more of the sales towards the higher end, and then with the F123, you're capturing some of the lower end also, and so, maybe that traditional mid range of the product line isn't being focused on as much. So with the mix shift, maybe the seasonality is shifting? And then I have a follow-up as well. Thanks.
Ilan Levin - Stratasys Ltd.: So I think what you've alluded to is in line with what we're talking about on a strategic level, which means that we need to address the different markets. I think that when we look at the tooling or manufacturing applications, certainly, that would be in our higher end regardless of the physical system that's being delivered. It is a higher end application. And the F123 certainly is catering more around the design, traditional prototyping, but in a different environment and more officeable environment. And so it's early days to begin to determine those trends but certainly, the market's maturing and becoming more segmented and we're seeing that in our business as well. Not only are we reacting to it, I think we're looking to drive it that way, not just react to it in that way.
Ananda Baruah - Loop Capital Markets LLC: Ilan, appreciate that. And is there – I guess, is there any way to sort of. I guess, kind of framework for us, how long – look, I know the visibility isn't exact. I guess what I'm wondering is, to the extent that the dynamic takes like a handful of quarters to play out, I'm wondering if kind of year-over-year revenue growth or if the revenue run rate continues to alter until you get kind of normalized adoption with that strategy at the different ends of the portfolio.
Ilan Levin - Stratasys Ltd.: So we're not going to provide any guidance for 2018 at this point. In general, I think that when we – looking at – when we're looking internally at our growth drivers, we're certainly seeing around new product, our ability to drive increased revenues around them. So we do see a lot of encouraging signs going forward absolutely.
Ananda Baruah - Loop Capital Markets LLC: Okay. Okay. And just one last quick one for me. Is there any – look, you've done a great job on the margins. And in the prepared remarks, like we can hear that you sound very satisfied with the work you've done on the cost structure. Is there any opportunity or how do you think about the opportunities internally? So just spend a little more to drive revenue growth a little faster, are there sort of tradeoffs given the success on the margins that you decided to make to drive more margin and maybe not push – push is the wrong word, but maybe not kind of – move with greater velocity on product placement then maybe you could make to drive the placements a little bit more quickly at the – I won't say at the expense, but sort of choose a little bit more faster product placement while perhaps showing a little bit more operating profit? Thanks.
Ilan Levin - Stratasys Ltd.: So I think most of what we've done over the past number of quarters in terms of improved operating profit, most of that was designed to actually increase focus, which is designed to increase our speed. So it wasn't about spending less, it was about driving the organization around certain items that we could actually liberate and go quicker. So I don't see that, at this point or what we've done in the past number of quarters, is one against the other. It was actually redesigning internally in order to work quicker and get to market quicker.
Ananda Baruah - Loop Capital Markets LLC: That's really helpful. I'm going to sneak one more in here if you guys don't mind. Just on metals, just in light of what some of your competitors have announced in metals over the last four to six weeks, if this has already been answered, I apologize, but would just love to get your updated thoughts on metals?
Ilan Levin - Stratasys Ltd.: So metals is less mature and is a newer material being introduced to additive manufacturing. We're very pleased with the opportunities and excited by the opportunities that plastics and the thermoplastics that we're providing to the market and the endgame that we could possibly bring through our products and the applications we can bring forward. We do have as we've alluded to previously in the call, we are incubating several number of technologies but I'm not going to comment as to what materials are being deployed there and what technologies and how we're applying them.
Ananda Baruah - Loop Capital Markets LLC: Okay. Great. Thanks a lot.
Operator: Thank you. Our next question comes from Ethan Potasnick of Needham & Company. Your line is now open.
Ethan Potasnick - Needham & Co. LLC: Yeah, hi, congrats on the quarter. This is Ethan Potasnick filling in for Jim Ricchiuti. I was wondering if you could discuss what you saw over the course of the quarter in your vertical markets, aerospace, auto and healthcare?
Ilan Levin - Stratasys Ltd.: So it's difficult within those three industries. We picked those because we believe that they are long-term plays for us. So, as you're might well be aware, the ability to penetrate those industries and grow does take time. So it's not – we don't judge that on a quarterly basis. We've been working at aerospace for well over five years, certainly auto even longer than that. So, as we bring new products to market as we deepen our engagement across those industries and within accounts, we believe that it will only bring us upside going forward. It's difficult to judge the progress on a quarterly basis in terms of product development bringing things to the market.
Ethan Potasnick - Needham & Co. LLC: Okay. And then similar to a previous question, how do you view competitive pressure from emerging threats to the business with regards to market share or product perspective in core plastic and polymer printing business?
Ilan Levin - Stratasys Ltd.: So, when we look at market share I think going forward, we will be looking at it on a segmented basis based on used cases. So a good example of that might be that we came out earlier in the year with a solution for interior cabins in aircraft. We believe that's a unique opportunity to Stratasys, primarily technology-based, and we find those applications on a continual basis within the focused industries. And that's what we're targeting. So I think the competitive landscape, which is evidently changing, I think it's good for the industry, it does increase awareness. I think ultimately, it will increase adoption in general. But when we're out in the field, and we're speaking with a specific application, a lot of what you see generally from a bird's eye view, we do not see on a case by case basis and that's what we're trying to drive.
Operator: Thank you. Our next question comes from James Medvedeff of Cowen and Company. Your line is now open.
James Medvedeff - Cowen & Co. LLC: Thanks. Thanks for squeezing me in here. It seems SG&A is down pretty handsomely from Q2. And my first question is, whether that is related to the decline in sales or what portion of that decline is due to the decline in sales and how much of it is due to management controls?
Lilach Payorski - Stratasys Ltd.: So a portion of this is EBITDA, related to the decline in sales as the revenue is down, so the commission, I believe, slightly lower. And you would expect this in this level of revenue in a quarter that you have a higher revenue level. You would expect the SG&A line to be slightly higher. And this is what we – we definitely expect from a Q3 perspective traditionally for us. Overall, the SG&A, definitely take in consideration or represent the focus that we initiated in our company in terms of the area that we are believed that will drive the long-term goal, included also on the product side and also on the go-to-market aspect.
James Medvedeff - Cowen & Co. LLC: Okay. Total operating expenses, non-GAAP in the quarter were up slightly as a percentage of sales versus the second quarter and I understand that's partly due to the decline in sales. But my question is, what is – given the management controls, what is the long-term target for that metric or if you conversely say it on an operating margin target for the long-term?
Lilach Payorski - Stratasys Ltd.: We currently do not provide the long-term profitability measure and specifically not also for 2018. But we do address it as part of our initiative here and at the same time, like Ilan mentioned before, we were more focused on doing the right things and focused our organization on the area we believe will deliver a growth going forward. At the same time, we monitor those measures as well.
James Medvedeff - Cowen & Co. LLC: Okay. If I can just slip an extra one in also, what is the utilization rate at the service centers now currently?
Ilan Levin - Stratasys Ltd.: Well, they've remained stable in quite some time. One of the key factors within SDM is that when we're moving increasingly more to a customer-centric approach, maintaining a healthy utilization rate in terms of customer delivery on time, one of the key selling points within that service business, service sector (55:07) is very timely delivery. So, often, we look at it as we're selling time and that's what rapid prototyping or tuning some manufacturing applications is all about, but we don't break that number out in terms of what that specific utilization would be.
James Medvedeff - Cowen & Co. LLC: Thank you.
Ilan Levin - Stratasys Ltd.: Thank you.
Operator: Thank you. And this does conclude our question-and-answer session. I would now like to turn the call back over to Ilan Levin for any closing remarks.
Ilan Levin - Stratasys Ltd.: Thank you for joining today's call and we look forward to speaking with you again next quarter. Thank you and goodbye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.